Operator: Good day, ladies and gentlemen, and welcome to the fourth quarter 2009 earnings call for Alliance Resource Partners, L.P. and Alliance Holdings GP. My name is Stephanie and I’ll be your operator for today. At this time all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. (Operator Instructions). I would now like to turn the call over to your host for today, Mr. Brian Cantrell, Senior Vice President and Chief Financial Officer. You may proceed.
Brian Cantrell: Thank you, Stephanie and welcome everyone. We appreciate your interest in Alliance Resource Partners, which today we will refer to as ARLP and Alliance Holdings GP, which we refer to as AHGP. We released our 2009 fourth quarter earnings earlier this morning and will now discuss these results and as well as our outlook for 2010. Following our prepared remarks we will open the call to your questions. Before we begin however let me start with the few reminders. First since AHGP’s only assets are its ownership interest in ARLP, our comments today will be directed to ARLP’s results and outlook unless otherwise noted. In addition please be where are some of our remarks may include statements, which are not historical in nature and may concern future expectations, plans and objectives of the Partnerships regarding their future operations. Such comments constitute forward-looking statements made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995, and are based on the beliefs of the Partnerships and those of their respective general partners and management, as well as assumptions made by and information currently available to them. Although the Alliance Partnerships, their general partners and management, believe these forward-looking statements to be reasonable at the time made, no assurances can be given that such statements will prove to be correct. These forward-looking statements are subject to a variety of risks, uncertainties and assumptions, which are contained in our filings from time to time with the Securities and Exchange Commission, and are also reflected in today’s press releases from the partnerships. If one or more of these risks or uncertainties materialize, or if underlying assumptions prove incorrect, actual results for the partnerships may vary materially from those we anticipated, estimated, projected or expected. In providing these remarks, neither ARLP nor AHGP has any obligations to publicly update or revise any forward-looking statement, whether as a result of new information, future events, or otherwise. Finally, we will be discussing certain non-GAAP financial measures. Definitions and reconciliation’s of the differences between these non-GAAP measures and the most directly comparable GAAP financial measure are contained at the end of the ARLP press release, which has been posted on ARLP’S website and furnished to the SEC on Form 8-K. Now that we’re through with these preliminaries, I’ll turn the call over to Joe Craft, our President and Chief Executive Officer. Joe?
Joseph Craft: Thank you, Brian. Good morning everyone, thank you for joining us today as we review the best financial performance and the history of our partnership. For a long-term follower this session resonated that the mid year and year end accomplishment. In September of 2009 ARLP celebrated its 10th anniversary as a publicly traded Master Limited Partnership. As we’ve reported earlier today ARLP delivered its 9th consecutive year of record financial results in 2009. Meaning we have posted financial records each year since our IPO and our goal is to make a ten years in a row in 2010. That reflect on our accomplishment this past year the fact that we were able to set new full year records for revenues EBITDA and net income and post strong 2009 fourth quarter results during what was arguably the most challenging business environment in our history it is the truly remarkable. These results are a testament and it is hard work and dedication of everyone in the Alliance organization. I’d like to take a moment to salute our team for their contribution for our best year ever. Let me highlight some of the major accomplishments they achieved during 2009. And we began initial production operations at River View the largest single investment in our history. Opening this mine on schedule in under budget. We made significant progress in the construction of our Tunnel Ridge development was similar results also being on schedule and on budget. We strengthen key customer relationships improved our long-term sales position most notably through a new coal sales agreement with TVA. As a result we enter the New Year with 29.6 million tons contractually committed in priced for 2010 and approximately 27.4 million tons in 2011. Now we successfully manage through weak market conditions and customer operating challenges by reducing production and sales volumes and to meet demand and implementing rigorous costs controls to reduce operating expenses and capital expenditures. 2009 was also one of ARLP’s safest years on record and we made meaningful stride enhance the safety of our operations. Granting several national champions in mine rescue team competitions and expanding market penetration of our minor and tracking and communication systems and launching our new approved proximity deduction device. And we again deliver it for our unit holders increasing our 2009 year-end unit order distributions by 8.4% at ARLP and 12.4% at AHTP contributing to significant improvement in our year end unit prices compared to the beginning of the year. ARLP not only delivered outstanding financial performance in 2009 and we also continue to position the partnership for growth in 2010 and beyond we are beginning to see encouraging sign at point to our positive supply demand dynamics in the U.S. coal market. ERA currently if estimates the after following approximately 10 % in 2009 coal consumption for electricity generation should increase nearly 4% in 2010 as the economy continues to recover. Despite anticipated increase in electric power generation the ERA expects coal production will remain low following an additional 4.6% in 2010 as producers continue to manage risk related to high inventory stock files at potential fuel switching in the possibility of slower than expected economic growth particularly in the industrial sector. In light of these near term uncertainties we intend to exercise discipline by slowing the expansion of production at our new River View mine. While we continue to excess the market ARLP will delay production from the 7th and 8th production units at River View until the coal demand outlook is clear. Even as we manage ongoing challenges we continue to anticipate growth in 2010. ARLP is currently expecting 2010 coal production will increase 14 to 17% over 2009 levels, which when combined with the aggressive management of our coal inventories should lead to growth in 2010 sales volumes at approximately 21 to 24%. Increase sales volumes in improved price realizations are currently expected to push ARLP’s 2010 revenues, excluding transportation revenues up by 24 to 30% over the prior year. Approximately 5 to 10% of our revenue projection is not covered by contractual agreements. ARLP’s expected top line improvements coupled with our continued cost control efforts are currently expected result in 2010 EBITDA and net income growth of 20 to 32% and 25 to 40% respectively. Clearly ARLP delivered exceptional results in 2009 and as we enter 2010 remains focused on achieving our primary business objectives of creating sustainable and cash flow to provide future growth and distributions to our unit holder. This time I’ll turn the call back to Brian for more detailed look at our financial results after which Brian and I will be happy to address any question that you might have. Brian?
Brian Cantrell: Thank you, Joe. As just mentioned ARLP again delivered record financial results in 2009 and nearly 16% jump in coal sales prices help push 2009 revenues up by 6.4% to $1.23 billion, while EBITDA increased 32% to $340.4 million and net income climbed 43.2% to $192.2 million. And as we announced earlier this morning ARLP also reported solid results for the 2009 quarter. Although weak demand and reduced customer requirements drove coal sales volumes and revenues down in the 2009 quarter. ARLP’s adjustments to production volumes, outside coal purchases and rigorous cost control initiatives below our operating cost collectively resulted in increases to both EBITDA, which was up 31.7% to $82.7 million and net income, which was 65.8% to $41.7 million all as compared to the 2008 quarter. As evidenced by our strong coal price realization, ARLP also continue to benefit in the 2009 quarter from a solid contractual position, particularly in the Illinois basin and that’s both quarter-over-quarter and sequentially. Improved contract pricing also drove average realization higher in Central Appalachia quarter-over-quarter, while the mix of product sold in the 2009 quarter compared to the previous quarter resulted in a sequential drop the average realized price per ton for that region. Sales into the export markets impacted both quarter-over-quarter and sequential price comparisons in the Northern Appalachia as ARLP shipped increased tons at higher prices and for the export market in the 2009 quarter compared to the third quarter of 2009, but fewer tons of lower prices when compared to the 2008 quarter. Weak coal demand and operating difficulties at several customers contributed to increase coal inventories in the 2009 quarter compared to both the 2008 quarter and the 2009 third quarter. Our Illinois Basin in Central Appalachia operations were impacted most significantly as force majeure events and contractual deferrals by several customers reduced our plan sales volumes in the 2009 quarter by approximately 420,000 tons and 107,000 tons respectively on a positive note Northern Appalachia sales volumes increased sequentially primarily dud to the previously mentioned sales and to the export market during the 2009 quarter. As discussed earlier ARLP responded aggressively through 2009 to address these challenges by managing coal production and outside purchases during the year ARLP reduce coal production and sales volumes and 2009 from our initial expectations by more than 10% and 8% respectively. These efforts by our operation along with tight control of operating expenses and capital expenditures allowed ARLP to reduce total segment adjusted EBITDA expense by nearly $21 million in 2009 compare to 2008 and capital expenditures by approximately $127 million below our originally planned levels for 2009. ARLP reported total capital expenditures in 2009 of $328.2 million, primarily related to the continuing development our River View and Tunnel Ridge mines, infrastructure and improvements of various operations and approximately $96.2 million in maintenance capital For 2010, ARLP is currently estimating total capital expenditures including maintenance capital in a range of $275 to $315 million. Again its primarily continuing the expansion of our new River View mine and development of the Tunnel Ridge mine. Maintenance capital during our current planning period is anticipated to increase by approximately 3% over previous estimates to $4 per production time. However as we experienced in 2009 due to the inherently cyclical nature of these expenditures actual maintenance capital will likely vary period-to-period. In addition other total capital expenditures estimates for 2010, reflect our currently anticipated schedules actual capital expenditures may vary due to construction, accelerations or delays. And finally ARLP’s balance sheet remains strong and we continue to enjoy strong internal cash flow in sufficient liquidity to allow us to execute on our plans for 2010. That concludes our prepared comments. Again thanks for all for joining us to today to learn about best year financially in our partnerships history. We appreciate your continued support and interest in both ARLP and AHGP. And with Stephanie’s assistance we’ll now open the call to your questions.
Operator: (Operator Instructions). Our first question comes from the line of Jim Rollyson with Raymond James.
James Rollyson - Raymond James:  Joe, you had get to the second half in particular last year kind of issues with force majeures and the unplanned outages and that kind of stuff. Any kind of color on how that’s proceeding now that you’ll get little bit of cold whether and things are at least looking in the right direction and just kind of curious what you guys are seeing out there?
Joseph Craft: James, we believe the problems to 2009 and behind us, so nothing would right now, where all the force majeures that were declare in 2009 that impacted our shipments have been concluded. So our customers are now taking under contractual commitments consistent with our staying agreements. We did diverse some times in ’09 and ’10 as well. But it is moment in time all of our contractual commitments are being on our consistent with the terms of the agreements as we speak. Cold whether is definitely help the inventory draw if you can tell from our projections we’re still anticipating 2010 with the increased levels of stock files to still developed slower space and so we’re not anticipating any takes in the near term many way from utilities but same time I think the inventory picture. The supply to demand picture is a lot balanced and then it was our last earnings call.
James Rollyson - Raymond James: That’s great to hear. And on the production and sales side, you gave us obviously your full year guidance pretty nice step up for you given the contracts you have. Any color you can provide on kind of regional and you’ve got the River View starting up in Illinois Basin, sounds like you had some export opportunities out of Northern App, just maybe give us a little idea kind of how you thinking about this for the three regions?
Joseph Craft: We typically don’t give you much detail, but I’ll say that Illinois Basin at current production levels without the 7th and 8th at the River View and that we are still now in Illinois Basin. So the unsold position is in the east above for East Kentucky and Northern App.
James Rollyson - Raymond James: Okay. And then on the cost side, I think 3 to 5% was your growth, just curious in the Illinois Basin, I don’t usually get too specific, but cost came down there this quarter despite the fact that volumes were actually the mostly been while just kind of curious how you see Illinois Basin cost going through the course of ’10 as River View comes on a particular, I think that would be helpful or else being equal, but just kind of curious your thoughts directionally?
Brian Cantrell: I think you got that analyze properly. As we ramp up, we have higher cost, as we get the full production and get over the ramp up curve which should turn favorably and at the same they are (inaudible) cost increases for labor benefits electric power cost and things of that nature that encounter the productivity improvements. So we are looking for cost at Illinois Basin to be reflective similar to what you are seeing in the fourth quarter.
James Rollyson - Raymond James: And last question from me, just distribution growth throughout 2009 is around 2% a quarter, so puts you up about 13% for the year, kind of what you are thinking is at this point given your guidance for 2010?
Joseph Craft: We will continue our most recent pattern of considering that on a quarterly basis. And absent any unusual circumstance that would be expecting that we can continue increases similar ranges of what we’ve had, but it’s going to be dependent on quarter look based on the out year forecast for the markets as well as productivity cost et cetera. So I think we’re in a very good shape with the contractual position we have in the knowledge of where we are in our coalmines and mine plans. I think if you look at this year’s projection compared to a year ago, we have lot more uncertainty a year ago than this year, because we were developing a new coal mine. So we had to end a reserve yet, so that now we’ve had that experience and more sales opened to the market. And hopefully with all the interruptions we had last year with our customer we had that behind us in going forward we can just execute our plan, which should provide for sizeable increase in distributable cash flow as our projections reflect.
Operator: Our next question comes from the line of Mark McMahon - Madison Williams.
Mark McMahon - Madison Williams: Thank you and good morning. Just a update on the organic growth projects were reviewed Tunnel Ridge and the others how much has been spend to date on each of those projects just trying to get an idea of what remains to be flat?
Joseph Craft: In River View we have spend approximately 70% what we anticipate and we probably committed 83 % of the total capital that we anticipate we gave a range of 250 to 275 and believe, Brian?
Brian Cantrell: That’s correct
Joseph Craft: And we are the low ended the range is to what we expect our total capital to be at River View. At Tunnel Ridge we are about 25% of our cash contribution on the capital as it been expanded and we’ve committed about half for that 45% to date to their project. Trying to street estimate what we.
Brian Cantrell: I think we’ve provided 265 to 285 the excluding capitalized development cost and capitalized interest, but we believe we are on track I mean near those ranges.
Mark McMahon - Madison Williams: Okay and then on Gibson and Penn Ridge those are just the cost on the permitting right I mean really a low.
Brian Cantrell: Basically just the cost to continue with the permitting and keeping the projects ready to go, but as we’ve been pretty clear I think that will be dependent on the market in terms of timing.
Mark McMahon - Madison Williams: And then also on the outlook it looks like the fair amount of the call fairly sizable amount of sales commitments have been gained for 2011, 2012 and 2013 and it looks like most of its probably been price, and just wondering if there is anything you could say about the outlook on pricing given that it looks like you have committed in price you know fairly sizable amount of the plan production for those years?
Brian Cantrell : I think did you look for 2010, as I mentioned in my earlier comments about 5% to 10% of our revenue projection is not cover back contractual agreements and based on the first question indicated that of that revenue is – we are looking at all of that and all those sales time coming out of the eastern year Central App or Northern App our focus in those markets are primarily export and both for Northern App being metallurgical tons and our Central App being PCI tons. So we are seeing different environment this year compared to year ago, if you recall a year ago, steel industry and markets were very disrupted those and now balance that and in fact there is lot of enthusiasm as you probably know the negotiations for that product typically you are on a fiscal year April 1. So try and bring certainty to what that markets going to be for 2010 will have better inside for you on the next earning call. Now we are encouraged and optimistic that there is sufficient demand they –comfortable that we can give the guidance we’ve given you based on what we know today. As we looked at 2011 since we will be dependent on the export markets in 2010 as we have seen over the past year there is a significant volatility there so trying to project what that’s going to do in 2011, 2012 etcetera it is difficult however the China story in the coal space continues to be very positive and we see China building several of steel mills on the coast over the next three years indicating or applying that they’re going to bring even more metallurgical coal under their country so we are cautiously optimistic that the export metallurgical coal markets are going to be elevated levels to 2009 for the immediate near term for the time period that you’ve talked about and therefore we are in the past we’ve because we like stability we haven’t put this metro lines in that market, but as we are focused over the next three years it appears that it may be the right decision for us to focus on that market as appose to the domestic steam market for our product in Northern App and Mountain View mine as well as summarize coal position in Central App. May be other follow on question
Mark McMahon - Madison Williams: No, that’s great, that’s very encouraging. And than just the last question, I just want to talk a little about your customers you have some very good stable relationships with TVA and LG&E and others I was just wondering as a result of utilities adding scrubbing equipment whether you’ve seen any changes in your customer maximum adding new customers etcetera. I know like I was talking Wisconsin Energy the other day and they have added those two units of their Elk Creek plant which are scrubbed and so they were taking deliveries, and I believe from Northern Appalachia, but and I was just curious as to whether you’ve seen any movement among your customer base or changes there?
Joseph Craft: I think the story there is pretty much intact with what we previously discussed, so there is nothing real significant. I think that in my view is that large part our coal is for Northern App as well as Illinois Basin are going to compete with Central Appalachia coal. And the scrubber build out has allowed us to do what we’ve done with River View and Tunnel Ridge. I think the soft economy and the gas switching in 2009 was not anticipated by us and that’s the primary reason that we’re delaying the actual bring on the production for the seventh and eighth unit. But the fundamentals are still intact and I think that we will overtime ones the stock files get back to normal and especially with improved metallurgical market situation. I think that the forward price curve and I think for Central App still will be north of $70 and if you get Central App pricing north of $70 it both well for our opportunities in Northern App and Illinois Basin and I think at that price point you will see customers looking at lower cost options in the two basins that we’re operating and growing our business.
Operator: Your next question comes from the line of Paul Forward with Stifel Nicolaus.
Paul Forward - Stifel Nicolaus: Good morning. Well just back on that metallurgical coal question, I was just wondering if you could give a sense of when you look across your existing Northern and Central App mines and your new projects, let’s call it a very strong export market for metallurgical coal. How much production do you have that might are in the best of all world potentially have enough choking properties to go into that market?
Joseph Craft:
Paul Forward - Stifel Nicolaus: And you had mentioned the PCI out of Central App is there a number you might be able to put on that?
Brian Cantrell: Yes, it’s probably in the 400,000 to 650 range over a fiscal year maybe little (audio gap).
Operator: Our next question comes from the line of Ron Londe with Wells Fargo.
Ron Londe - Wells Fargo:  Thanks. Lot of my questions have been answered. But I’m just curiously capital spending range at 275 to 315, could you kind of breakdown where that money is going and where you are from the standpoint of financing those expenditures?
Brian Cantrell: On the breakdown, I think we indicated roughly $92 million or so, well $4 a ton production ton was going into maintenance capital for this year with the balance other primarily to continue to build out at the River View and Tunnel Ridge. In terms of financing, as I said, when we look at our cash position, our revolver is under arm at this point, so with the expectation of letter of credit commitments we are four capacity available to us there. And when you look at our anticipated cash flows, expectations on interest distributions et cetera we have sufficient liquidity to execute on our 2010 plans without a requirement to go to the market. Now I think as you know we’re confidently looking at access and availability of the markets they are all open to us at this point in time and we will continue to see what are our options are and react accordingly. So the good news is that we don’t have the need to go back, but we will continue to access opportunities.
Operator: Our next question comes from the line of Michael Moran with (inaudible) Capital. You may proceed.
Unidentified Analyst : Just couple of follow up questions with the six units that we review, what do you anticipate the current solution to production to be for 2010 and what would be the fully production on the six units and then one – in the CapEx question how much of the total CapEx will be remaining for 2011?
Joseph Craft : Well, lets talk about Tunnel Ridge force we have indicated, - talked about we have roughly 25% its been spend and 45% of sales has been committed that plan is to bring that long – operation in November ’11 that is point in time so between 10 and 11 you will see the remaining non committed unspent portion spread reasonably equally about time period. Our review essentially takes 100,000 tones per unit and so on annual run rate basis. So that if you would have bring on the other two units on a annual run rate if the 800,000 big unit and as far as how to compare to year-over-year, we have got roughly the 800,000 tones – times but we moved to couple of units from other operations to help that we review. So there are couple other capacity opportunities in our annual basin that and we really had those number of – to give the – they are definitely packed the guidance we given to you based on bargaining plan is, can you write now we don’t anticipate that markets for 2010 and 11 would demand anymore units than potentially the seventh and eighth in River View, so the upside that we might be able to provide if the market responds with the two extra units 800,000 per unit on annualize run rate basis, that’s (inaudible).
Brian Cantrell: And then with transfer units from other operations as Joe mentioned, should the market continue to develop beyond that we have additional flexibility there as well.
Operator: Our next question comes from the line of (inaudible).
Unidentified Analyst: Thank you and good morning. Most of my questions have been answered, but you sort of addressed this, but maybe you can give us little more color. Can you talk about the export market and how much it’s going to mean to you, how volume you might put out over the next couple of years in your strategy?
Joseph Craft: Again, I think we would be looking roughly 1 million tons of metallurgical, again plus or minus and then on the PCI, somewhere between 400 and 650 could be as much as 800, I think more reasonably speaking it’s 400 and 600,000 tons a year.
Brian Cantrell: And that’s available capacity is on the market therefore.
Unidentified Analyst: Well, based on what I’m hearing the market is pretty strong, so I would tend to think, maybe you will get even better, but is that something you likely to be talking about in the next conference call, you put that into that market?
Joseph Craft: And we would hope that by the next conference call negotiations should be completed, so we should have more definitions on that for 2010, for fiscal year 2010 April 1 to April 1, we should have more information for you in the next quarter.
Unidentified Analyst: And geographically would that be Europe or Brazil or where would you likely be putting those times?
Brian Cantrell : It part of Asia and Brazil.
Unidentified Analyst: I would touch geographically Asia would be bit tough?
Brian Cantrell : There is demand that some would go to Europe.
Unidentified Analyst: Okay and then again you’ve discussed this but maybe you could that little more late on the year. Could you talk about the general pricing environment and what you are seeing in the market right now?
Brian Cantrell : Pricing again if you go back to the industry publications they’ve reported pricing its very fluid and the pricing aspects or the anticipate pricing has been built in to our guidance for you. So I think that we given you ranges and revenues and I think that based on what we noted with that. Since we’re right to know negotiations not to give specific numbers but we have try to factor than end of the guidance we given today.
Unidentified Analyst: I understand that and I respect to your ratio. But the market seems too heated up in the last maybe six weeks or so?
Brian Cantrell : Yes its continuing to show strength and some reports about China back and half but specifically bagging up economically but specifically to their demand for coal and metallurgical coal we believe that its continuing to be very positive for the coal industry including the US producers.
Operator: (Operator Instructions). Our next question comes from the line of (Inaudible) investment. You may proceed.
Unidentified Analyst : Good morning guys I wonder I might ask you just for a clarification on the met call question. And you mentioned that primarily your production from metal coal is from – and but there is a lot of contracted capacity therefore\(Inaudible). This is mean that- this is one in the same that, that call which could potentially be sold those net call is being sold those same call to (Inaudible) what did you mean something else?
Brian Cantrell : Yeah there are different qualities because you have to wash that raw product to lower ass to (Inaudible) and what the million takes. Yes the color we are selling to (Inaudible) does have qualities and it could go in the met market if he did not have a contract. That based off for the contractual commitment based after the other obtainers we are at the (Inaudible) to blame with our product to show under the met market. Again we feel like our targeted right at that million tones of merchant
Operator: There are no further questions. I would like to turn the call over to our senior vice president and Chief Financial Officer Brian L. Cantrell for closing remarks
Brian Cantrell: As we discussed the last year financially in our partnership history, we appreciate your continued support and interest in both ARLP and AHDP and we look forward to hopefully to delivering continued growth for in 2010. Thank you very much.
Operator: Ladies and gentlemen, that concludes today’s conference. Thank you for your participation you may now disconnect. Have a great day.